Martin Adams: Good morning, everybody. Thank you very much for joining us today, both in the room and online for our FY ‘25 Results Presentation. We have some slides that have been produced that will be presented to you by our CEO and Co-Founder Kristo Käärmann, followed by Emmanuel Thomassin, our CFO. We'll then move into Q&A. And I'll give -- I'll explain the process for Q&A once we get there, but we'll start in the room before moving over onto Zoom. So without further ado, it's my pleasure to introduce Kristo.
Kristo Käärmann: Thanks for having thanks for having me. It feels like we're doing this every, every other week now. We just had the Owner's Day, only a month ago. I would love to find a clicker, so that I can move on the slides. It's coming. Thank you so much. So great to see you again, and I'm happy to cover now as a kind of the full scope of the financial year that we just finished. We did give you a lot of preview already on that during the Owner's Day. So a lot of the numbers are probably familiar to you. We also added another announcement to our earnings release this morning. So I'll come back to that, towards the end. So hold tight. But I'll start with, actually, before we get into numbers, the reminder of why are we -- why do we even exist, Why are we -- why are we doing what we're doing? It's because we believe that money should work without borders. It should work the same internationally as it works at home. But there's still huge amount of friction and stress when people and businesses move across borders or try to do business across borders. So we will remind today about how our, infrastructure and products are addressing this problem and cover the progress that we've made. But first, I'll keep reminding ourselves that we are very early in our journey. We estimate individuals move about GBP3 trillion a year across borders. We have about 5% share of that. At small businesses, that’s another GBP14 trillion. And out market share there is even more in the beginning and now adding the scope of enterprise and corporates, you kind of get to GBP32 trillion, which not all of it was in scope of our direct apps, but as we started bringing more and more volumes on -- to Wise platform, actually, the infrastructure we're building is to serve this entire GBP32 trillion market. So while today, we already move around GBP145 billion a year, that we're building this network to move trillions. So let me take you through some of the highlights of this year. It's across different parts of our product and the service. So starting with the infrastructure. We brought live the integrations into the two payment systems in Philippines. Actually, even before that, from official numbers, we estimate that we deliver 12% of all the money that is going to Philippines in the world for people. The engineering work is still ongoing on Zengin in Japan and Pix in Brazil. And by the way, as a reminder, by the Central Bank statistics, we're already by far the largest institution moving money in and out of Brazil by transaction count. So we already have a huge head start, or we built up a head start in Brazil. Now we're linking much deeper into their payment systems. Wise account, it got better for Australians who can now switch their interest for their Australian dollars and U.S. dollar holdings. We rolled out the international account for people and businesses in the Philippines. There's a lot of features that we've added globally to the Wise account to make it a better place to hold. You'll see from the numbers shortly that this is starting to make difference in terms of the customer holdings. On features specifically for our business customers, we're actually addressing the most important task for any business owner. This is getting paid, and in our case, getting paid internationally. So we already talked about invoicing, I think, one of the half years, and we observed that 25% of the businesses who are using Wise to get paid, they're actually getting paid by other Wise customers. So that's why we built Quickpay. So Quickpay is, where businesses can get paid online with cards, but they can also get paid with QR codes by other Wise customers. So that's enhancing the Wise to Wise transfers that are super cheap and fast and probably the best, kind of best way of moving money from one place to another. It was a strong year for Wise Platform. You heard this on Owner's Day. We've added more logos since then. We included Itau, its largest bank in Latin America and Raiffeisen, and much of what we've been talking about through this year or the launches or the developments or the investments we've made, they will have a compounding impact on financials for many years to come. Very little on this financial year. So when we start looking at the numbers, start looking at the financials, we will be looking at how our previous year's investments are now playing through and bringing us growth. So let's see how these are performing. When we start with active customers, last year alone, we served 15.6 million people and businesses who made cross currency transaction. This was 21% more than the year before and 2.6 times since we listed on the exchange. The similar rate of growth is visible in terms of cross border volume. We moved 154 billion – 145 billion volume, again a 23% growth. And when we look at the holding, so people and businesses keeping money on their Wise account, then this has really grown substantially 33% only last year and at least to GBP21.6 billion. It's also a big testament to how the Wise account is starting to get traction. So growth in customers' volumes and holdings, they all increase the return for our owners. Underlying income, 19% in financial year 2025 reaching GBP1.4 billion, which is 3.2 times the amount that we generated in FY ‘21. Underlying profit before tax increased 17%, and our reported profits, including all of the interest income, was also 17% higher, so reaching now, the other side of GBP0.5 billion. So, as we move on towards our goal, moving trillions, we will continue to create more and more value for our owners. But how do we get to that? How do we get to trillions? We will do this through the products that our customers love, and we'll do it profitably. But it's also with infrastructure. We're coming back to that. As more and more people and businesses move and hold money with Wise, our network sees greater flows. Greater flows, we see economies of scale lead to better outcomes for everyone who use Wise network, people, businesses, now banks. And this again brings more users to Wise just because the service and the scale is so much better. And we get more of the share of the 32% -- sorry GBP32 trillion that is already moving across borders. And all of these effects are really powered by this infrastructure that we're talking about. This is something that we built from scratch to replace the outdated correspondent banking networks that hadn't been fit for decades already. So our infrastructure is also the reason why payments on Wise are so much faster and served at a lower prices, than any competitor can really match sustainably. So this strategy of continuously lowering our fees makes it harder for anyone to compete, and it will underwrite the long term success and growth of Wise. So by the last quarter ending March 31, we brought out take rate to just 53 basis point, 0.53%. This is in comparison with what people and businesses are charged when they use their bank. This is already so much ahead. More and more payments are also going faster. So now 65% of all the transactions that move from one country to another arrive in less than 20% less than 20 seconds at the -- with the receiver -- with the recipient. So it's all these smart investments in the infrastructure, in our technology, in our marketing, the products that will be driving the growth for years to come. So we looked at how the previous ones are doing, and we'll hear more later. So as a reminder, this infrastructure that I just covered again and the fundamentals that you're seeing, this reaches our customers through the products that we build and through the experiences that we create in our service. We started with simple transfer product. We remain absolutely focused on providing the best way to move money from one country to another, but we now serve huge amount of people and businesses through the Wise account. Our customers wanted to get paid internationally. They wanted to hold money or an interest and spend without the hidden FX fees. And while it's in the very beginnings, we're already seeing some of the world's largest banks operate through Wise platform. So while we're onboarding more than a million people a quarter to Wise directly, to our apps directly, the vast majority of cross border volume that we looked at this GBP32 trillion TAM is with retail banks. And the largest leverage to our infrastructure will be serving this volume through the banks, through Wise platform. And we get often asked why large banks use Wise. So first, cross border payments are really hard. They're very efficient. They rely on this outdated, under invested, infrastructure that the banks are operating on. They're slow. They're paid. They operate very manually, and it's expensive for banks. If it's expensive for banks, the banks have to charge it on to their customers. Prices are therefore high, although, they try to hide it. And in addition to poor experience, the end users are then hit with these high costs. So many of the customers that of retail banks are taking their international business to faster challengers, or other faster banks who move faster on this, and sometimes to specialists like us, or other challenger banks. But Wise platform is a fantastic solution for banks for them to get ahead of their competition and give their customers a reason to stay in the banks ecosystem. So that's why we see every quarter the network of our banks on this chart expanding. Last month alone, we added Itau and Raiffeisen on this map. The logo should be probably much larger here, but it's pretty good. With that, I gave you a bit of a reminder of how we think about Wise as an operation from the infrastructure through to the product. And now the important part is financial. So how do we do this sustainably? Because what we're doing is pretty exciting. And I'll hand it over to Emmanuel, our CFO to cover.
Emmanuel Thomassin: Well, thank you, Kristo. Good morning, everyone. Yeah. 2025 was another exceptional year of growth driven by our commitment to our mission. And today, I like to walk you through the numbers and also the story behind it. So, obviously, we are very pleased with the year 2025 with our performance during the year. We saw a preview of these numbers, during our Owner’s Day, in April, few weeks from now. And during my presentation today, I will cover the different drivers, but also the stories behind our performance. In 2025, we continue to see a double-digit growth in both customers and volume, but also we saw a significant increase in customer's balance and we also delivered very strong margins. So I now like to cover the key drivers, behind this strong performance. And we start with our customers. In 2025, active customers increased by 21% year-on-year. With no customers experiencing the ease, the transparency, but also the affordability of Wise. And word-of-mouth remain the main customer acquisition channel with over 70% of customers' growth coming from this channel. So this is the evidence that our [indiscernible] product, convinced and continued to have a great impact on people's life, and that continued to build our evangelical, customer base. On the mix, the active customer growth was mainly driven by an increase of 22% in personal customers and which increased from 12 million to 15 million last year. The business active customers increased by 11% last year from over 600,000 to nearly 700,000 active business customers. And we are pleased with this recovery, because of this customer group, following an onboarding pause, in the second half of 2024, as you surely remember. So now moving to cross border volume. Clearly, the customer growth was the main driver behind our cross border volume of 23% last year. And we believe that price remained the main reason why customer choose Wise, which was also pretty evident during the second half of the year. In particular, our price change that we took from the summer made us more attractive to customers moving high volumes. This results in volume growth, outpacing customer growth in the second half of 2025. Overall, the cross border volume increased by 23%, to a GBP145 billion (ph) for the full year and with growth and personal cross border of 22% and business of 24%. And the growth of the Wise platform has continued to outpace overall the volume growth. In 2025, Wise platform represent 4% of the cross border volume, compared to the 3% in the previous year. So we are very excited about the long-term perspective of Wise platform as we continue to ramp up their announced partnership and have new partners to the platform. And Kristo just mentioned that, the newcomers on the further the past weeks with Raiffeisen Bank and Itau. So now I'd like to move to a different element of our underlying income, starting with the cross border revenue. Of course, border revenue grew by 6% versus last year to GBP840 million. And while the growth rate reflects our price reductions, it also underscore our commitment to making Wise more accessible for everyone as we will see on the next slide. We closed the year with a cross border rate of 53 basis point, compared to -- in Q4 2025, a reduction of 14 basis point compared to the same quarter in 2024. And this reflect the price adjustments, that we had from Q2 2025 onwards, as well as the impact of current mix and an increase of high volume customers. For the full year, the cross border take rate was about 58% -- basis point (ph). And going forward, we expect to continue to investing in gradual, but also sustainable price reductions as we continue to share the benefit of the economy of scale to other customers. We have also continued to see an increase in the adoption of Wise account, which drive also higher retention with our broader use of our products. In last year, in 2025, over 3.5 million people start to use the Wise account. And we also seen a strong growth from card only customers, which represent around the fifth of our active customers based in Q4 2025. So as a result of these factors, card and other revenues increased to -- by 45% year-on-year, last year in 2025, and we saw an increase of 31% in card revenue to GBP200 million -- GBP220 million and 71% growth in other revenue to GBP152 million, out of which nearly 10% was coming from our asset product. This increase adoption of the Wise account is also driving an increase in customer holdings. In 2025, we saw an increase of 33% year-on-year in customer holdings to, GBP21.5 billion, and this includes GBP17 million – GBP17 billion, sorry, customer holding balance in the Wise account and GBP4 billion and GBP billion in asset under management. We have seen a 55% increase in asset under management as the increased numbers of customers now benefit from our Wise asset product today. And through Wise asset, our customers can earn interest on their balance by investing their money in a money market fund. Wise Asset is now live in Singapore, in Australia, in Europe, including the UK, where we can directly pay the interest to our customers as you surely know. Overall, our underlying income, increased by 16% to GBP1.4 billion, mainly driven growth by their personal segment, as I mentioned before by 18%. This growth in the Wise account has allowed us to further diversify our underlying income with a 38% of underlying income now coming from card, other, and also underlying interest income. So now, I like to move through our cost structure and profitability. In 2025, cost of sales increased by 5%, which is significantly lower than compared to the underlying income growth of 16%. And this allows us to grow the underlying gross profit by 20% and expand our margin to 75% for the full year. And this was mainly a result of banking and customer, related fees increasing by only 4% last year, as we continue to enhance our infrastructure through direct integration. we talked about this into domestic payment systems. And, also alongside, well, we optimize our cost and are becoming more and more efficient. The administrative expense increased by 25% last year to 769 million as we continue to invest into the business and also providing a better experience for our customers. Our strong growth alongside our reluctance focus on driving cost efficiencies, deliver a profit before tax of GBP282 million, an increase of 17% compared to the year before. And our underlying BPT margin was at 21%, which was flat year-on-year as we continue to invest in our business. And while this margin remain above our mid-term target of 13% to 16%, we expect our investments into building the business and also sharing our economy of scale with our customers, through pricing to narrow the gap. So I shared this slide with you at our Owner’s Day in April, and I'd like to cover this again, how the efficiency that we generate and the growth driving -- is driving investment into the business truly generate a virtual cycle. So while we may start with the targeting underlying BPT margin of 13% to 16%, as you know, we see our margins grow our previous investments and also the relentless (ph) cost focus drive by efficiencies. And we can then reinvest this additional generate margin back into the business into enhancing the -- and building the products, creating even more powerful infrastructure, building the brand of Wise, through marketing, increased marketing investments, also efficient, effective services, and last but not least sharing the efficiency with customer through lower prices. These investments drive our marching back to the 13 to 16%, midterm target, range again ahead of the next investment cycle. So our focus is making sure, that we can reinvest as quickly ahead at the substantial opportunities of the GBP32 trillion that we mentioned before, stand before us. So now let's take a look at how we invest. In 2025, we have increased of nearly 50% in non-employee related expense to GBP356 million. And this include third-party cost, including outsource, servicing, adviser spent, but also marketing and tech infrastructure cost. And our spend in employees’ benefits increased by 9% to GBP413 million. So let's dive into the detail. The increase I've just mentioned in employees benefit of 9% was driven by the headcount, growth that we saw last year, as we were joining by new joiners of around 1,000 new Wise (ph) join us last year. We also increased our investments in marketing last year, as we increased our spend in brand awareness marketing with existing campaign in Australia and most recently in Canada. We also diversified our marketing channels with an increased presence on TikTok and also on Reddit. And we also complement the work with our team with three key creative agencies to deliver targeted campaign, driving brand awareness and considerations. We also increase our spend in product development, during the year as we invest improving our product to better serve our customers and deepen our mode through continuous investments into our infrastructure and also our tech stack. And our technology spend increased broadly in-line with the volume growth, and this is linked with the data storage capacities, due to the volume and the trade it (ph). So we also invest in our servicing function to service a larger customer base, whilst we are still driving efficiency by increasing automation and reducing customer contacts. This include the use of all source providers, enabling us to meet demand, high quality and also cost efficiency manner. And finally, we also continue to invest in other functions. So now moving to the reported BPT in the full year 2025. We generate GBP444 million in interest above the first 1% yield. And as a reminder, as part of our interest income framework, we seek to keep the first 20% of this and distribute the remaining 80% back to the customers. And in full year 2025, we return GBP161 million to the customers, out of the GBP355 million, target. Our reported BPT in the full year 2025 was GBP565 million, this is an increase of 17% year-on-year. And following our income tax expense, our profit after tax was GBP416 million. So this market, massive of market opportunity, and also the cycle that I just covered is what underpins our midterm guidance, and I'm very proud, of our progress here to date. Our growth -- on growth, we expect to deliver on the 15% to 20% CAGR underlying income growth in the mid-term, driven by the mix of customer growth, as well as growth of our products, and also reduction in price. We still expect to deliver on the 13% to 16% underlying BPT margin in the mid-term with the margin around the top of the range as we announce also at Owner’s Day in 2026. So before passing back to to Kristo, I'd like to provide an update on the capital allocation. And first, I'd like to cover our strong level of cash. We maintain a strong capital and cash position to ensure resilience, but also flexibility and to meet also the requirements of our regulators. And we announced it also at Owner’s Day, Wise receive an investments, a grade rating of BBB by both agencies S&P and Fitch (ph), which will allow us to optimize our working capital. Secondly, on return of capital, we announced it also at Owner’s Day. We announced a share repurchase program of an incremental 25 million shares into our employee benefit trust, and to fund historic options. And this, we started in early -- the full year 2026. And for this program, we have already repurchased 4.1 million shares, at an average price of GBP9.5. So as I mentioned in April, this is a first step. We're talking to return capital to owners, and it doesn't exclude any additional future returns. And with that, I'd like to pass back to Kristo for closing remarks.
Kristo Käärmann: Thank you. Thank you, Emmanuel. I just have some final comments before, we move into the QA. And I'll kind of summarize with a few thoughts on this. So all of the good news, so Emmanuel's given us quite a lot of good news of how well we're doing. We're not in this position by accident. So it is a result of -- over a decade now of taking the hard options over the easy ones, or for building infrastructure over gimmicks, the results of avoiding distractions, embracing local laws and regulations, financial prudence, and steady prioritization of customer outcomes. And this didn't come overnight. It's rather over the long term and through us maintaining our focus on this mission. So the next 10 years, they're not going to be easier. They will demand no less discipline for different parts of our organization and us adhering to these principles. So as we think of these next 10 years of growth, as announced this morning, we are proposing to do a list of our shares, adding a primary listing in the U.S. We're excited this proposal, believe it will bring significant benefits to owners -- to our owners, actually, down the line to our customers. Our stock will be much more liquid, giving our owners flexibility, giving access to people who -- people and funds who didn't have access today. And it also strategically lifts our profile in the U.S., gives us greater access to the growth opportunities that we see there, especially, our kind of single out wise platform and the business space. But we are committing to the UK. We're retaining our UK listing. This is where we're founded. It's a source of really smart people, and we just really opened this office. So we are thinking of this move as additive. So we're adding a listing to the U.S. We're expanding our owner base. We're improving liquidity for our shareholders, but we don't want to make anything worse for our UK shareholders who are based here. So we are -- I think, a company like no other in recent history where we set foundations to eventually fix how money works across borders, both for people, for businesses, and now for banks. We are very focused on becoming the network for the world's money. And we talked about how we're moving or we moved GBP145 million this year, but we're on the way to move trillions. We have made great progress so far, but the path together is pretty clear, pretty exciting ahead of us. So that was all I wanted to share today, but we are open to questions. I think, Martin, you'll have to help us here. Thank you very much everyone for coming in.
Martin Adams: Thanks, Kristo. Yes. So for Q&A, we'll start in the room and then we'll take a few questions from Zoom. So if I could ask you to raise your hand when you receive the mic, please do introduce yourself and your company, ask your question and then hand back the mic. So if we just start here with Pavan. Thank you.
Pavan Daswani: Yeah, thanks. Pavan Daswani here from Citi. Thanks for taking my questions. I've got a couple. Firstly, could you maybe expand on your comments about the growth opportunities for the US listing? You particularly called out platforms in particular. And does it also help with the conversations with regulators in terms of direct connections possibly in the US? And then secondly, we're two-thirds of the way through Q1, obviously, quite -- seeing quite a lot of volatility in the markets. Could maybe touch on some of the trends so far in Q1?
Kristo Käärmann: I'll start with the first one and pass over to Emmanuel. We're thinking about these listing updates very much in the long term. So in the next 10 years. And the strategic impact, we expect to be soft and indirect. So there's no one thing that we can't do today and we can do then. But we expect this to raise our profile in the largest market of the world. And where our opportunity is enormous already. I'll skip the stats, but a vast amount of our volumes touched the US dollar on one leg or one currency. So it is important for us to operate in the US. It's a big part of our business already. [indiscernible] I’ll leave the second part to Emmanuel.
Emmanuel Thomassin: Yeah. I mean, like, maybe to add to that, there are 4,000 banks in the US for the Wise Platform. This is a massive opportunity. And we think that it will also increase our brand awareness. That's one of the aspects. Concerning the business. I mean, like the -- the announcement on the -- certain announcement coming from the US had an impact on the volume trade. We saw like -- on the overall perspective, say, if you look at the month of April and May, they are completely in line with what we saw the month before. Within the months you have some fluctuations. We had some [upfront] (ph) loaded volumes in the first two weeks of April, decelerating for the second -- for the last two weeks of the month. But overall, as I said, it was completely in line with what we saw the months before. Obviously, we are monitoring what's happening and what kind of decisions would be made further [indiscernible] tariffs. It seems like it's cooling down a bit. And I should add, like, we're probably not so exposed compared to other players. We're not exposed especially for one country. I would mention, for example, China, where we don't have a massive exposure to one specific country. I think the portfolio, the footprint that we have is almost natural age. So yes, acceleration of the activities, the first two weeks of April, overall the months was completely in line with what we saw before. And so far, also the first two months are in line with what we saw in the first quarter of 2025.
Martin Adams: Right. Thank you. I can go to the front here to Justin, please. Thank you.
Justin Forsythe: Awesome. Thank you very much. This is Justin Forsythe of UBS. Good to be here. So a couple questions from me. Wise Platform, wanted to touch on that. Obviously, some really nice wins including Raiffeisen, Itau. Maybe you just talk a little bit more detailed about the rollout and the phasing. And specifically, I mean, is this a repeatable process or because of the size of these organizations, is there any sort of bespoke services type of work that you have to do to implement the solution set there? And how long? I know it's going to vary depending on the partner there, but how long should we expect those rollouts to take? Is this three, four, five year journeys and can they pick certain currencies? How are you thinking about that? I know we maybe spoke about it in the past, but it's six months since Standard Chartered. Maybe we could have a little bit of an update there. And then I wanted to ask about the merchant acquiring proposition, the payment links. So, maybe you can just talk a little bit more broadly about your go-forward aspirations, because I think this is just the starting point. Maybe there's opportunity to do more stuff with an e-commerce. And just how it works, including with the QR code? And are you ultimately the payment processor? Are you leveraging any partners to execute those transactions on the backend and how do you view more broadly the payment processing proposition going forward?
Kristo Käärmann: Okay. I can -- we'll try to probably split the first one with Emmanuel. You're right. We've covered the progress. So I must -- I would color it in the way that this 2025 was a great year because we revealed a set of large logos, high-profile banks that we've been working with. But of course, it's been years in the making to get to that stage and it's going to be years as we ramp up different volumes. Emmanuel has shared a little bit on a grander scale of how do you think of Wise Profile as a whole? We're unlikely to be able to comment on individual volumes of clients, but maybe…
Emmanuel Thomassin: You remember probably at the Analyst Day we said like we're around 34% today of the revenues and midterm is going to be 10%. Long-term we foreseen a 50% of the revenues coming from the platform.
Justin Forsythe: Of revenues?
Emmanuel Thomassin: Of revenues, yeah. So we stick to that. In terms of acquisition or the -- I don't know if you -- the part of it was also the timeline. So as Kristo said, the acquisition takes some time. I haven't said that, obviously, announcing this kind of big wins increased the inbound calls. And we are pretty optimistic for the years to come on the platform. But the wrap up after designing took some time. Usually we start with one product, one would specifically, and then we increase the volume as time comes.
Kristo Käärmann: Answering your question on -- this 20,000 banks in the world, it has to be a repeatable process to an extent, but with any kind of enterprise sales, it's a process.
Justin Forsythe: Thank you.
Martin Adams: There was a second part.
Kristo Käärmann: Second part was the -- the payments. Payments. So indeed our -- maybe I'll start with where the sweet spot is for our business customers. So where we serve our business customers today are the ones who don't get paid like a hundred times a day. So there's very different solutions for those businesses. There is even different solutions for businesses that get paid 10, 20 times a day, but those who don't get paid like multiple times a day. So if you're a contractor, if you're selling more occasionally, that's where we can help. And especially when you do it internationally. Again, domestically, a lot of these solutions are quite advanced and quite well set up. But if you do this internationally, the main reason, like with our individual customers businesses, really hate being -- really hate discovering that whoever the service provider is, they managed to take an FX markup and there's a 2% tax or 3% tax on it. So that's what they don't love. We have a transparent solution for them. But it is geared towards less frequent -- less frequency payments. I don't know if that helps the...
Justin Forsythe: [Multiple Speakers] partnering with anybody, or is this like full stack Wise solution?
Kristo Käärmann: We are partnering across as we should be. So within our stack, of course, we try to use others as well. But especially these Wise-to-Wise payments, they're completely on our stack. So that -- there's nothing -- there's nothing there, but then financial services are very integrated. So the integration is actually power rather than a downside.
Martin Adams: Thanks. Just Alex, thanks a lot.
Alex Short: Thanks. Alex Short from Berenberg. I noticed in the results you reference that you've entered into an insurance safeguarding policy for $520 million. My understanding, correct me if I'm wrong, is that, that will allow you to use customer funds as working capital. Is that the case? And what's the rationale behind that? Is there going to be any material impact on direct costs? And could you, or should we expect that $520 million to grow over time? It's obviously quite a large amount relative to your post-capital requirement corporate cash balance.
Emmanuel Thomassin: So when you refer to Safeguarding Insurance, it's part of -- we have it already, right? And this is part of the overall strategy for safeguarding. This will continue, I mean, like we will -- we are prolonging this safeguarding and over time we aim to increase it. But this is part of the overall strategy of safeguarding.
Alex Short: Okay. And one more. I noticed that H2 revenue performance in North America was a little bit softer. Could you elaborate on the underlying reasons behind that?
Emmanuel Thomassin: America? You mean from the Americas or the US dollar?
Alex Short: North America, the geographic revenue disclosure that you provide.
Emmanuel Thomassin: That, I mean like -- I can't answer this question actually, sorry.
Martin Adams: Thanks Alex. Would you mind just passing it to Andrew? Thank you.
Andrew Hollingworth: Thank you. Andrew Hollingworth from Holland Advisors. Just a few questions, if I may. You talk about strategically sort of lowering fees, but obviously this year was a big step down and then the previous years was not so many steps, albeit that I think you had spoken about wanting to be reducing fees. So have we sort of got to an inflection point you think now whereby sort of operational gearing the business means that you're just going to be continually lowering some years more, some years less, but it's -- the trajectory is now consistently down. That's just a simple sort of yes or no question, I suppose.
Kristo Käärmann: I'll make it a bit broader. So, I think historically it has always been, it just has in the middle, there were a few years where it wasn't down that much. So, I think it will vary. It will depend on our economics and our scale effects. So yes, is a short answer. But if you look at over the years, it's just there's varying. It's not a now being different.
Andrew Hollingworth: Okay, great. Thank you. And then just two other ones that's perhaps a bit more expensive. On the Investor Day, a lot of people ask questions about the network and about new products into larger corporates and all the rest of it. I run a small business and for me, the products you offer for a small business in terms of cross-county invoicing are just fantastic and just save a fortune. So it feels to me like there's a massive, massive potential in SMBs, but you'll sort of growth rate in those -- in that sort of segment, it's never quite what we want it to be because of all the onboarding and all the rest of it. So having got through that, how do you feel about that sort of segment in three, four, five, 10 years from now? Do you think it could be a massive business or is there always going to be an onboarding step changes that we're going to have problems with?
Kristo Käärmann: No, you're right. This is a massive opportunity. I mean, because also we have a beautiful cohort with these SMEs. They are usually very sticky, but the acquisition time is, obviously, take longer. I mean, like for small businesses to be acquired, but this is a massive opportunity for us. And we also declared at the Analyst Day, I mean -- on Analyst Day it was a part of the presentation, how we focus on launching new products that are facilitating, well, your daily life with invoicing and so on and so forth. So we will continue to focus on these opportunities for sure. But this is a large one.
Andrew Hollingworth: Okay. So much as we've had slower growth more recently, I know you're not going to give a target, but it just feels like that's a bit that should be growing a lot quicker for a lot longer at some point in time?
Emmanuel Thomassin: For sure, we put a target on this $14 trillion cross-border [Multiple Speakers]
Andrew Hollingworth: That's fine. That’s a big enough target. Okay. And then the last one, could you just talk about some competitors, Revolut and Nubank and [your] (ph) holdings, obviously, have chosen to become banks. And by being a bank, obviously, you give me greater security about me having deposits with you and so on. So could you just talk about that decision to do that and not to do that. Because, obviously, being a bank has that feeling of being old lazy competitor, but Nubank, and let's not talk about Revolut, but Nubank is not an old lazy competitor.
Kristo Käärmann: I can try and answer. Being a bank really only gives you mostly one thing, which is, the ability to lend me to lend your business's holdings to people on this side of the room. And none of our customers are really asking us for that. So, you're not calling and saying, hey, I have this money here. You're paying interest. But I’d actually want you also to lend it to someone else. So that's why the banking as like lending deposits is not really that relevant for us. Of course, because you would be taking as a customer huge amount of risk of holding your money with us if we were to lend your deposits. Therefore, this concept of deposit insurance is devised to give you comfort that you should do something as reckless as giving us your money and us lending it. But of course, if we're not lending your money, you don't need the deposit insurance. So I agree with you that most people won't want to think about us. There is this aura of security that comes with banks. But instead, if your business is registered in the UK, what you can do is switch on interest. And with that, you'll be getting pretty much -- you'll A, getting government guarantee on your holdings, because all the holdings are in assets that are either issued by the government or guaranteed by the government. And you get an interest that is not far from what Bank of England would be paying on banks' deposits. So with assets, you actually get the best parts of both worlds. You get much more interest than you would get from the bank, and you get the security across all of your holdings, not only the chunk of it. And that's why you also see the assets part of the holdings growing pretty fast, because this proposition is actually better than any bank can offer.
Andrew Hollingworth: I get that. I mean, Revolut is going to play the bank security [indiscernible]. Have you got messages that you can give your customers that just say, look, you haven't got the [indiscernible] that's what I'm trying to get at is, how do you get to [indiscernible] happy to have big sums with you?
Kristo Käärmann: I think when we look at the distribution of how big sums people have with us, you'll be surprised how large these numbers are. So it's already happening a little bit. But of course, I take your comment that is a feature or setup that is new to a large population and we're on the way of bringing this to the market. So I think we're in the early days on this.
Emmanuel Thomassin: I think it's also fair to say that we're not the bank, but we face obligations to safeguarding just touch base about it. So basically, we are securing the money of our customers for sure. So yes, one way to look at it and that's also fascinating, is like you could say, well, the state only guaranteed to a certain level. So what happened beyond, right? So basically, in brackets, only GBP85,000 and EUR100,000. But basically, some people will hold more money than this. So we have the obligation from the authorities to secure this money from our customers anyway.
Kristo Käärmann: We are getting really detailed questions there. [Enjoying this] (ph).
Aditya Buddhavarapu: Hey, good morning. This is Aditya from Bank of America. A few from my side. Firstly, just on the point around the pricing changes, so you've had a couple of more direct connections which would probably go live during FY ‘26, Brazil and Japan. So how would that sort of reflect on your passing changes during this year in terms of maybe timing or scope? Would that be something more gradual or could that sort of be another step change? That's the first one. The second one is more broadly on the US listing, which have been proposed. So could you just talk about what's the requirements to get out to some of the US indices? Once it happens, I know there's a few steps before we get there, but is there a need to incorporate the business in the US as such or have management? I don't know what are the steps there to kind of get to that point?
Emmanuel Thomassin: I mean, we start with second and I go back to the [indiscernible]. So today, we just announced the recommendations. There is more to come. I mean, we work on the details. So I think it's true premature to give you details today. We have a circular going out at the end of June, and then you will have the full detail of this. If you refer to basically where we are today in London, one-fifth of our employees, 6,000 employees, one-fifth is based here. We're looking for 100 positions. We just moved to a new office. So we don't have no plan whatsoever concerning the move to the US. Maybe more on the financial part, which is part I covered. Yes, we will have some implications with the prior listing. I mean, obviously, US GAAP is one of the things. We in the preparation and consideration with the board and the long discussion that we had, the teams have been working on the preparation already and we know the steps that we have to follow in order to be ready for listing, assuming that we basically we had the approval from their shareholders. On pricing, I think it's important because sometimes we forget this. I mean we do price adjustments every month, but that's something that -- I think it's fair to say that we continue to pass the efficiencies to the customers and then we -- that's something that we have already factored in in our guidance. So yes, there would be price adjustments where we can. We are driving the business in a way that we become more efficient every single month. And once we have this clear visibility, we will pass this efficiency back to the customers. So yeah, there will be price adjustments, but the magnitude is soon to be seen.
Andrew Hollingworth: And then maybe just one follow up. You've spoken about the $2 billion of investment over the next few years, having invested $3 billion in the previous 10 years. So given that sort of large runway of opportunity of $32 trillion TAM, how should we think about that investment scope beyond the next two years? Because you could easily invest another four, five, six. I mean, there's just capital opportunity. So how do you think about the investment opportunity beyond this couple of years then?
Emmanuel Thomassin: Yeah. So first, I mean, like, this investments come with their kind of return expectations. So, we can measure, I mean, we share the [$2 million] (ph). If we got the return that we expect or even beyond the investment, the return that we get, we might come back to you and say, look, I mean, we see an opportunity here to invest a bit further. It's too early to say. I mean, like, we accelerating our marketing spend, as we said for this year, we see good returns, good reactions from the market. We driving the upper funnel higher in Australia, and we will enter other markets during the year for the marketing. We are increasing our product and tech head counts. So that's where we start today. Beyond the $2 billion. I mean, if the return is good, I think we can expect us to continue to invest. I mean, the opportunity is so huge, so if the return is there and we create value from the shareholders, we should continue to do so.
Martin Adams: That's great to here. Thank you. And then after this question, we'll jump over to the Zoom.
Craig Mcdowell: Craig Mcdowell from JP Morgan. On the platform business, obviously a lot changed in the macro since you spoke to us last in April. Can you comment on whether there's been any change in the funnel of opportunities? Where you've seen prospective partners either delay or deprioritize and similarly on the integration of confirmed partnerships, any changed integration plans?
Kristo Käärmann: I haven't seen any impact from macro. I didn’t know or negligible on Wise platform. I think like banks, they like us thinking long term when banks talk to us, this is also a long term, pretty strategic move for them. So the probably short-term movements are not affecting them.
Martin Adams: Great. Thank you. If you are joining via Zoom and you'd like to ask a question, please raise your hand. We do have a question here from Gregoire Hermann at Barclays. So over to you Gregoire.
Gregoire Hermann: Hi, everyone, I hope you can hear me well. A couple of questions please. The first one would be on the timeline potentially on the dual listing. Is there anything you can tell us here? I know you said on the 26th of June you will circulate the proposal. But for what you said you're ready. So what can we expect there? Then on the platform and more specifically Raiffeisen announcement, which was I think a couple of weeks ago, when do you expect it to be effective? And then lastly, more on recruiting. I think you said that as of March 21st, you mentioned that you had more than 6.5 thousand employees, which presented more than 2,000 recruits over the past three years. Should we expect that same pace of recruitment over the next three years? Thank you.
Emmanuel Thomassin: I might start with the timeline. So yeah, you're right. The circular should be available for the shareholders by the end of June with a full detail. I mean, I mentioned before the legal setup and other details. That would be by the end of June. Then there will be an AGM taking place or we're seeking the approval for this consideration. That would be at the end of July. And then there's a timeline to consider the prior listing in the US. We're working full speed. As I said before, there's a financial part of it. There's also a compliance part of it. And the timeline should be around a year or so. We have to work, we have to file, we will have an iteration with the SEC. So that's probably that you have to keep in mind. But the next immediate steps are the circular on the 26th of June. We mentioned that this morning and vote of the shareholders by the end of July.
Kristo Käärmann: And in terms of your question on platform and Raiffeisen. The dynamic there is similar as discussed before, we expect each of the customers to be -- I once announced, we announce usually when we're starting to see some of their volumes are very close to that. And then we should see each of these ramping up at their own pace. And I think the one to track is the overall Wise Platform volume rather than the individual deals.
Emmanuel Thomassin: And then you mentioned the head counts. Yes, we've been increasing the head counts in the last three years. We ramp up their service departments or the service teams the last two years quite a bit because of the demand of customers and onboarding the customers on the private side with those on the SMEs. We also announced, if you remember, about six months ago, that we're working a lot with third party in order to also like have this flexibility and bandwidth to satisfy when we onboard more people or less. So that is a full ongoing. This is also part of their expense increased last year, not related to personal. In general, we are looking for recruiting in the world, really, and like this is true for Japan, this is true for Singapore, India that we announced we build an office there. UK, I mean, like we have more than 100 open positions as of today and the US obviously. So yes, we continue to recruit, probably not at the same pace in terms of certain departments -- in certain departments, as we saw over the last two years. We're focusing on efficiency, we're focusing on automation and artificial intelligence is obviously something that should also drive efficiencies here.
Gregoire Hermann: Thank you.
Martin Adams: So now passing over to Alex Faure at BNP Paribas. Over to you, Alex. You may just need to unmute on Zoom, Alex.
Alex Faure: Hi. Good morning. Can you hear me now?
Martin Adams: Yes, we can. Thanks.
Alex Faure: Apologies. Thank you very much. Thanks for that. Yeah, couple of questions if I may. Firstly, on the new US tax bill, in that context, how should we think of the mix between maybe discretionary transfers and less discretionary transfers coming from your US-based end users? And my second question is on stablecoins. Obviously, we've got a [circle] (ph) starting trading in a few hours now. Just wondering what exploratory work you might be doing within Wise around stablecoins and maybe as an add-on to that, how do you view potential competitors when it comes to cross-border payouts, maybe technology from Bridge and [BDNK] (ph) and the like. Thank you very much.
Kristo Käärmann: Well, I can try to answer. So your question was about the proposed US transaction tax. We don't really have a position on this. Of course, the country can tax there how they want. But we don't particularly expect a substantial exposure to our financials. I think that's what we would have said if we expected that. I think that's -- let's see what happens there. I would encourage. On the other topic, on stablecoins, interesting to watch. What are they going to be the use cases? It's hard to see that the kind of the general use cases of how people use money across the world. The local -- as long as the local currencies are being used, I think it's hard to see these technologies competing with the infrastructure that we've built up, but also can reserve the opinion there.
Alex Faure: Got it. Thank you.
Martin Adams: That's great. So we don't have any further questions on the Zoom. So at that point, we shall conclude today's presentation and Q&A. And I thank you very much for joining us this morning. Thank you.
Kristo Käärmann: Thank you so much. Thank you.
Emmanuel Thomassin: Thanks everyone.